Operator: Good morning. My name is Savanna, and I will be your conference operator today. At this time, I would like to welcome everyone to the RenaissanceRe First Quarter 2024 Earnings Conference Call and Webcast. [Operator Instructions] 
 I will now turn the call over to Keith McCue, Senior Vice President of Finance and Investor Relations. Please go ahead. 
Keith McCue: Thank you, Savanna. Good morning, and welcome to RenaissanceRe's First Quarter Earnings Conference Call. Joining me today to discuss our results are Kevin O'Donnell, President and Chief Executive Officer; Bob Qutub, Executive Vice President and Chief Financial Officer; and David Marra, Executive Vice President and Group Chief Underwriting Officer. 
 First, some housekeeping matters. Our discussion today will include forward-looking statements, including new and updated expectations for our business and results of operations following the Validus transaction. It's important to note that actual results may differ materially from the expectations shared today. Additional information regarding the factors shaping these outcomes can be found in our SEC filings and in our earnings release. 
 During today's call, we will also present non-GAAP financial measures. Reconciliations to GAAP metrics and other information concerning non-GAAP measures may be found in our earnings release and financial supplement, which are available on our website at renre.com. 
 And now I'd like to turn the call over to Kevin. Kevin? 
Kevin O'Donnell: Thanks, Keith. Good morning, everyone, and thank you for joining today's call. 
 Last night, we reported an annualized operating return on average common equity of 29%. This is a great start to the year and build on our momentum following an equally strong finish to last year. Individually, each of our 3 drivers of profit, underwriting fee and investment income are performing well, having all 3 aligned at the same time however, has resulted in one of the strongest return profiles I've seen in my career. 
 If 2023 was about advancing our strategy, 2024 is about execution. Last year, we successfully delivered a step change in reinsurance pricing terms and conditions. We then accelerated our strategy by acquiring one of the best reinsurance companies in the market, Validus Re. 
 For 2024, our primary goal is to reap the benefits of last year's 2 strategic milestones. As reflected in our financial results for the quarter, in aggregate, these milestones are mutually reinforcing and highly accretive to our bottom line. Continued success, however, depends on strong execution. To begin, we remain highly focused on delivering the combined RenRe Validus portfolio, a process that will be ongoing through mid-year renewals. 
 We remain on track to retain at least $3 billion of the Validus premium. If we are ultimately successful in doing so, our combined portfolio will exceed $12 billion in gross written premiums. Given the very favorable reinsurance environment, we expect this to be highly accretive to shareholders. The success of the Validus acquisition, however, depends on much more than just retaining the underwriting portfolio. Employees and systems must be integrated, synergies must be achieved and this process must remain seamless to our customers. 
 Consequently, we are focusing a substantial amount of effort on integration, and we are making excellent progress. Our capital partners business is another area where the Validus acquisition is mutually reinforcing. This business is larger than it has ever been and continues to grow. This generates substantial fee income for our shareholders. It also brings significant capital efficiencies to our balance sheet and to the Validus portfolio as we bring it on to our platform. This efficiency will be realized over the course of the year as we successfully renewed the business and place it on the designated owned or capital partner balance sheet. 
 We're also focused on growing our investment portfolio in what continues to be the best interest rate environment in decades. Validus brought us substantial additional float at an opportune time, and we are investing it at increasingly attractive returns. 
 Our overall capital and liquidity positions are as strong as I have ever seen. In aggregate, we enter the hurricane season positioned to outperform. There's been a lot of attention on this year's particularly elevated hurricane season forecast. So I want to spend a few minutes discussing our perspective. [indiscernible] reports this year are focused on just 2 of the many important variables that are part of the forecasting models. The first is elevated sea surface temperatures, and the second is the El Nino La Nina Southern Oscillation. 
 With regard to the first, tropical Atlantic sea surface temperatures hit record highs earlier this year. They remain warmer than average across most of the Atlantic Basin at or above the already anomalous 2023 levels. Much can change between now and wind season. The long-range forecast suggests that this warmth will likely persist. We have seen elevated sea surface temperatures before. While it is difficult to assess the incremental catalyst per formation this level of heat will have, our model is pointing to significant Atlantic tropical cyclone activity. 
 The second driving for us is the El Nino La Nina Southern Oscillation. In 2023, we benefited from El Nino conditions, which limits Atlantic tropical cyclone formation. These conditions are shifting and long-range forecasts suggest that La Nina conditions are likely to return during the late summer or early fall. La Nina typically results in lower wind shear and increased thunderstorm activity, both of which promote tropical cyclone development. In general, El Nino has a stronger suppressing influence on formation than La Nina has on enhancing formations. 
 That said, heightened sea surface temperatures and La Nina in conditions are just 2 important variables in a complex system. Many other factors such as wind shear and the drying effect of the African dust influence formation. Additionally, steering occurrences are important as more storms do not automatically mean more landfalls or landfalls in densely populated areas. 
 Ultimately, we do not cover hurricane formations. We pay losses caused by land falling storms. Many different variants beyond weather conditions need to simultaneously rely before a major hurricane becomes a material loss for us. Given this, we have constructed a portfolio that's designed to deliver resilient performance against a wide spectrum of potential tail outcomes. 
 Over the years, we have often discussed the 3 superiors that we value: superior risk selection, superior capital management and superior customer relations. These core values underpin everything we do, leading to 2 important outcomes. First, the possibility of an elevated hurricane season is not a risk we transfer to our clients. Rather, we manage risk over a multiyear period and price it accordingly. For our customers, the provision of consistent coverage and pricing regardless of forecast is a key component of our value proposition. 
 As I've discussed in the past, there is some value to incumbency. An important aspect of incumbency is consistency. Our consistency over the years, despite forecast plays a significant role in ensuring our position as it bought first call market and a leading reinsurer across the full spectrum of property casualty reinsurance. 
 Second, we have seen elevated forecast before. Already, we have constructed a seasonal model that incorporates the forecast of elevated frequencies for both minor and major hurricanes, and have stressed our portfolios against us. As one would expect, our returns are lower under this model. But given our disciplined underwriting, proactive gross-to-net strategy and strongly diversified 3 drivers of profit, these expected returns are still strongly positive. 
 In summary, our portfolio is well underwritten. Our risk is on the right balance sheets, and we are in excellent capital position. Our customers rely on us for long-term consistent partners, and we continue to reward us with their loyalty. 
 That concludes my opening comments. I'll provide more detail on our segment performance at the end of the call, but first, Bob will discuss our financial performance for the quarter. 
Robert Qutub: Thanks, Kevin, and good morning, everyone. We started the year with another excellent quarter with operating income of $636 million and an annualized operating return on average common equity of 29%. The strong returns in the quarter were driven by superior results across all 3 drivers of profit with underwriting income of $541 million, up 46%, fees of $84 million, up 87% and retained net investment income of $267 million, up 59%. 
 Year-to-date, we have grown our principal metrics, tangible book value per share plus change in accumulated dividends by 5%. This represents strong earnings that were partially offset by $194 million in retained mark-to-market losses in our investment portfolio. Over time, we expect these losses to accrete back to par. Near term, we are benefiting from higher rates on new investments. 
 I'll discuss our results in more detail in a moment, but there are a few key takeaways that I would like to highlight. First, as Kevin mentioned, this quarter, you are seeing a full 3-month benefit of Validus in our financial results. Overall, net premiums written were $3.2 billion, up 41% and underwriting income was $541 million, up 46% from Q1 last year. 
 Second, we reported strong overall underwriting results with a combined ratio of 78% or 75% after adjusting for the impact of purchase accounting. This was a low quarter for catastrophes, with property catastrophe and other property having excellent quarters. The casualty and specialty adjusted combined ratio was 97%, which included an impact of 4 percentage points from the Baltimore bridge collapse, which I will discuss in a moment. 
 And third, fee income was $84 million on the back of solid growth in our joint ventures and strong performance. 
 And finally, retained net investment income was a healthy $267 million consensus is building around a higher for longer interest rate environment, which should support strong net investment income for the rest of the year. 
 In summary, we have built a powerful platform with several distinct sources of income, rewarding our shareholders with secure returns while making us increasingly resilient to catastrophe activity. 
 Now moving now to our first quarter results and our first driver of profit underwriting. And as we discussed, we had a phenomenally successful 1/1 renewal and retain the combined RenaissanceRe and Validus portfolio according to plan. As a result, gross premium written were up 43% with robust growth across both segments. Net premiums written were up slightly less at 41%, this reflects our decision to purchase some additional ceded protection in our property catastrophe book as part of our gross-to-net strategy as well as some timing differences. We reported strong overall results with an adjusted combined ratio of 75%. 
 Moving now to our Casualty and Specialty portfolio where gross and net premiums written were up 41% and 45%, respectively, as we incorporated the Validus business onto our platform. As Kevin will explain, we exercised underwriting discipline by growing into attractive areas such as specialty while reducing exposures to areas such as professional liability. Net earned premiums in the Casualty and Specialty were $1.5 billion, up 52%, also driven by Validus. In the second quarter, we are expecting net earned premiums to be about $1.6 billion. 
 This quarter, we reported an adjusted combined ratio for Casualty and Specialty is 97%, which contained 4 percentage points from the Baltimore bridge collapse. The bridge had an overall net negative impact on our consolidated results of $55 million. On average, we continue to expect a mid-90s Casualty and Specialty combined ratio after adjusting for the impact of purchase accounting. 
 Moving to our Property segment and starting with Property catastrophe where we reported strong growth driven by renewal of the combined portfolio at attractive rates and terms and conditions. Gross premiums written were up by 44% and net premiums written were up by 30%. We seeded about $277 million or 21% of Property catastrophe business compared to 12% in Q1 last year. Property catastrophe had an excellent quarter with an adjusted combined ratio of 16%, reflecting low losses and 10 percentage points of favorable development. The acquisition expense ratio was up by about 3 percentage points, driven mainly by the impact of purchase accounting adjustments. 
 Moving now to other property, where gross premiums written were up by 46% and net premiums written were up by 64%, driven mainly by the addition of the Validus portfolio. Net earned premiums in Q1 were $390 million, up 16%. The reductions we made in 2023 and our other property book continued to earn through. In next quarter, we expect other property premiums earned to be about $360 million. 
 Other property printed excellent results in the quarter with an adjusted combined ratio of 75% and about 11 percentage points of favorable development, predominantly from attritional losses. The other property current accident loss year ratio was 57%, which included a 5 percentage point impact from the Baltimore bridge collapse. Going forward, we continue to expect another property attritional loss ratio in low 50s. 
 Moving now to fee income in our Capital Partners business, where fee income reached $84 million, up 87% from the comparable quarter. Management fees were $56 million, up 37% from Q1 '23, reflecting increased capital in our joint venture vehicles. Performance fees were $27 million, driven by joint venture growth and strong performance, including favorable development in the quarter. In the second quarter, we expect management fees of around $55 million and performance fees of around $15 million, absent the impact of any large loss events. 
 Moving now to investments, where retained net investment income was $267 million, up 4% from Q4 and up 60% from a year ago. Treasury rates have consistently ticked up through the year leading to a $194 million retained mark-to-market losses in the quarter. Overall, retained unrealized losses in our fixed maturity investments stand at $189 million or $3.58 per share. We expect this to accrete to par over time. 
 Our retained yield to maturity was relatively flat at 5.5%, which is slightly higher than our net investment income return of 5.3% in Q1 of this year. We have kept duration stable and in the second quarter, expect retained net investment income will be relatively flat compared to the first quarter. Financial markets are expecting treasury rates to persist around current levels, which should continue to support strong contributions from net investment income in the quarters ahead. 
 Now turning briefly to expenses. We have already achieved significant synergies from the Validus acquisition. While absolute operating expenses have increased year-over-year due to the acquisition, our operating expense ratio ticked down to 4.3%. We expect the operating expense ratio to stay relatively flat through 2024. 
 Corporate expenses remain elevated with about $20 million of the $39 million total related to the Validus acquisition. These transaction-related expenses are excluded from operating income and should start to taper off next quarter. 
 Now finishing with capital management. We are heading into the midyear renewals with a very strong capital position. As we have discussed in the past, RenaissanceRe has a long history of being disciplined stewards of capital, and we remain consistent in our approach to capital management. Our primary focus is optimizing the Validus business by renewing it onto our wholly owned and capital partners' balance sheet. As we complete the integration, we will continue looking for the best opportunities to deploy capital. 
 And in conclusion, we had another excellent year, another excellent quarter with significant top line growth related to Validus and substantial contributions from each of our 3 drivers of profit. Underwriting income was strong, following a highly successful 1/1 renewal. Management and performance fees were both up significantly driven by underlying portfolio growth and strong performance. And finally, net investment income continues to be a stable significant source of income for our shareholders. 
 And with that, I'll turn the call back over to Kevin. 
Kevin O'Donnell: Thanks, Bob. As usual, I'll divide my comments between our Property and Casualty segments. Starting with Property. We began the quarter with a magnitude 7.5 earthquake in Japan. While this was one of the strongest recorded earthquakes in the region, due to low population density and resilient infrastructure, its impact to the reinsurance industry is low. As a result, the earthquake did not have a significant influence on 4/1 renewals and programs generally renewed in an orderly manner. There is sufficient reinsurance capacity to meet today. 
 We have strong relationships in Japan, and we're successful in renewing our combined lines at rates, which were flat to down 5%. Rates online in Japan tend to be low. So such a small shift in price does not significantly impact either top or bottom line. Our underwriting team is working on the midyear renewals and we have already completed several large places. 
 We are seeing additional demand for reinsurance come to the market, particularly in Florida, driven by a variety of factors, including: first, a more attractive primary market with higher underlying rates and growing confidence that recent regulatory reforms have helped stabilize the market. This has resulted in significant takeouts from citizens the state-run insurer of last resort, which should drive additional demand for reinsurance. 
 And second, the end of the reinsurance to assist policyholders or the wrap layer, where Florida provided $1.1 billion of free property cat reinsurance below the cat fund. We have been reducing exposure to Florida domestics for almost a decade due to their financial performance and social inflation issues. Although we believe the market is in a much better place, we remain cautious. For the most part, our focus will be on applying our underwriting strategy to the Validus build. 
 In other property, the market continues to be attractive, although rate increases have started to moderate. Rates have been growing substantially since 2019. Although the rate of increase is slowing, we continue to like the return profile of the risk that we assume. That said, we expect that our growth in other property this year will primarily be through selective renewal of the Validus portfolio. 
 Touching now briefly on the Francis Scott Key Bridge collapse in Baltimore. As Bob discussed, this had an impact on both our Property, and Casualty and Specialty segments. Going forward, this loss is likely to result in additional opportunities for us in marine and other specialty markets, which I will outline in a minute, have already been attractive. 
 Moving now to Casualty and Specialty. Overall, this segment continues to demonstrate healthy underlying profitability. Trends from 1/1 generally continued for Casualty and Specialty. Our view is that the general casualty market is keeping in line with loss trends, and we are supporting cedents, who demonstrate strong underwriting discipline. Additionally, we continue to reduce on certain lines like D&O, where underlying rates are declining. Ceding commissions and D&O are reducing for the second year in a row in some cases. This provides an offset to rate reductions and positions the best programs for long-term profitability. We are managing our portfolio accordingly. 
 In Specialty, as we discussed last quarter, the Validus acquisition provided us with a large market leadership position and broad diversification within specialty lines. We expect that the Baltimore bridge collapse as well as recent aviation incidences will further drive a specialty market dislocation and an attractive rate environment. We will continue to manage our portfolio by growing in the most attractive classes and reducing in more challenging areas. Cyber, for example, is seeing increased competition from reinsurers, and we are reducing our net exposure here. 
 In our credit business, we are largely maintaining our combined market share. After a difficult 2023, surety continues to experience significant rate increases. Mortgage origination volume has declined, but we have found some attractive opportunities within private mortgage insurance. While Validus brought us a large mortgage book relative to our equity, our mortgage risk remains consistent. Our agility in maintaining discipline and leaning into the most attractive lines is apparent with the premium shifts this quarter. 
 In Q1 2023, specialty made up 27% of our gross Casualty Specialty premium. It now makes up 38%. Conversely, professional liability made up 26% of our premium in Q1 2023 and has reduced to 18%. We have kept a general casualty and credit relatively flat at 28% and 16% of our book, respectively. I mentioned these changes to highlight our ongoing activities to shape our portfolio and ride into the best opportunities. 
 Shifting now to retro purchases. At 1/1, we saw continued discipline around retro structures pricing and pricing was relatively flat. We primarily traded with our long-term partners, and we're able to secure additional capacity. As we renew the Validus portfolio on to RenaissanceRe balance sheet, it is incorporated into our various retro programs. The next major renewal for our retro program is in June, and we expect that we will be able to purchase the limit that we disorder. That said, our strong capital and liquidity position provides us significant flexibility, and we will only purchase additional limit if it improves our overall portfolio. 
 Shifting now to capital partners. As Bob discussed, fees were healthy this quarter and contributed significantly to financial outperformance. Overall, capital partners is performing well, and we expect it to continue to grow. 
 In conclusion, it was an excellent quarter. We started '24 in a strong position with all 3 drivers of profit, contributing meaningfully to our results. Rates and terms and conditions continue to be favorable, and we are confident in our ability to build an attractive RenaissanceRe and Validus portfolio. Interest rates continue to support strong net investment income. And finally, capital partners continues to grow and contribute substantial fee income. 
 Thanks. And with that, I'll turn it over for questions. 
Operator: [Operator Instructions] We will now take our first question from Elyse Greenspan with Wells Fargo. 
Elyse Greenspan: Kevin, in your introductory comments, you reaffirmed, right, the at least $3 billion of Validus premium. I just want to get a sense post the Q1, are you -- based on the renewals and the growth you saw there, could there be some upside to that number? I just want to get a sense of how the renewals were versus your expectation on the base, right, that you had to renew in the first quarter? 
Kevin O'Donnell: Yes. Thanks, Elyse. I would say we'd keep our commentary exactly the same as we did before, which is $3 billion with the potential for a bit of upside. When we first declared the increase from $2.7 billion to $3 billion, it was based on our expectations of what our [indiscernible] October portfolio looks like. So the things that we're seeing in the April renewals and going into June, July are basically framing up within expectations of how we set up that original increase in our forecast. So I wouldn't change anything at this point. 
Elyse Greenspan: And then my second question is on Florida. As a follow-up to your prepared remarks, Kevin, I guess when you think about the state, what do you need to see in Florida to be less cautious or just to become more positive and to begin to increase your exposure? And then on Florida, can you just give us a sense of where prices are trending for the 6/1 renewals? 
Kevin O'Donnell: So yes. No, thank you for that. I think -- well, we think we'll see elevated demand in Florida mostly at top layers. Vermeer has certainly an appetite to write some of that. It's very capital sufficient for Vermeer to put that sort of capacity out. For RenRe, I would say with the scale that we have and with the portfolio that we've already written, over the last several years, we have biased our Southeast wind exposure to larger national accounts and away from the Florida accounts, as I mentioned. I think for us to meaningfully shift the portfolio is unlikely regardless of terms, conditions and pricing changes in Florida. I would say we have capacity to put out and if there's overwhelming opportunity and significant enhanced beyond our expectations rate, we would continue to grow into that market, but that's not our expectation.
 Dave? 
David Marra: Elyse, this is David. I'll add a bit of color on that. We do expect good growth in demand and good discipline from the market in the Florida space. As Kevin mentioned, it's not just Florida, it's also the nationwide that have sort of exposure. At 1/1, we saw growth in demand about the high single-digit percentages. We would expect going into 6/1 renewals that we get more growth in demand than that. So it might be 10% to 15% with trending in some of those programs are already being locked up now. So we're optimistic about the ability to create a good portfolio of profitable risk, but we're approaching it cautiously as we have. 
Elyse Greenspan: And then just the price piece, would you expect price to kind of be flat down? What do you expect? 
David Marra: We think things will trade around the strong levels that we've seen since 2023. There's positive dynamics with the legal reforms, but those are still unproven following a big cap. The risk is still quite capital intensive, and there's always the potential for high frequency of storms in Florida. So we think things will trade similar to what they've traded for since 2023. 
Operator: Our next question comes from Meyer Shields with KBW. 
Meyer Shields: I was hoping you could clarify what you meant by the renewal or transferring the Validus Florida book to RenaissanceRe. I couldn't tell whether that was an indication of expected growth or declines? 
Kevin O'Donnell: What we're looking at is taking very simply, RenRe is one, Validus is one, we want it to equal 2. So we expect that we'll renew the Validus portfolio. We like the book that they wrote. There's some overlap with our book and there's some diversification in the domestics that they wrote down in Florida. So I didn't mean to highlight anything other than the combined portfolio will be roughly equal to the 2 independent portfolios. 
Meyer Shields: Okay. All right. Sorry, I probably overthought that one. Can we get an update -- I know it goes back a little while when you were talking about the delta between the reserving and pricing actuary view of, I guess, social inflation or casualty loss trends. And I was hoping you could update that on where those 2 sources of opinion are? 
Kevin O'Donnell: Yes. I'll start, and then I'll turn it over to Dave. We have been, as you would expect, slow to take the benefit of price into our casualty portfolio and into most of our specialty portfolio. So there still remains a relatively consistent gap between our pricing and reserving loss ratios. I think we're also, as we mentioned on other calls, were relatively slow to recognize good news. So I think -- so when we think about how the curves are developing, it's pretty substantial lag before we'll accept good news, and we immediately recognize that news.
 But I'll turn it over to Dave for more detail. 
David Marra: Yes. I think like Kevin said that reserving process, which recognizes the bad news early and the good news, 1/3 more seasoning is important, because it does lead to a stronger and more stable pool of reserves. What we're seeing in the market is that in the general liability side, we still have rates increasing and covering loss trends, it's D&Os where they're decreasing and losses are still at an elevated level. So our goal when we construct the portfolio is to make sure we maximize the best portfolios over the long term, and we are scaling back in D&O.
 Now ceding commissions are adjusting and that provides some offset to that, but it's still the right portfolio construction resolve to tweak those percentages. 
Operator: Our next question comes from Ryan Tunis with Autonomous Research. 
Ryan Tunis: First question, I guess, just on the Baltimore Bridge loss. Just wanted to get a better sense of -- I guess I'm just trying to figure out, I guess, what kind of verticality there could be in that loss pick? So is there anything you can give us in terms of how you how you came up with, I guess, the reserve you're thinking about? And also just curious like what type of reinsurance contracts are responding, rather is it traditional reinsurance? Or I'm not sure how much marine retro you write, but is it that type of contract where the loss is coming from? 
Kevin O'Donnell: Yes. I think I'll start, and I'll let Dave do most talking on this. The bridge loss, the reason we want to highlight it is it happened in the quarter. It's got a lot of presence, it's across 2 segments. So I want to give you a little bit of transparency. We think recognizing it early makes a lot of sense. We also think it's the largest marine loss that's ever happened. So I think that also fed into our thinking. We don't think we're over sized with the loss, but I'll turn it over to Dave to talk a little bit more about the coverages. 
David Marra: Yes. The 2 coverages that are most in play are marine liability and then property. And that's why we booked it into 2 separate segments. In marine liability, you asked about where that gets reinsured, whether it's retro. We assume that through traditional excess of loss in the marine and energy space, which covers marine and energy often in a combined way. And then we also do write some assumed retro. We also buy some retro to limit our exposure on that overall account. That's where the specialty piece is being assumed. And then the property piece is in our other property risk and quota share portfolio. 
Kevin O'Donnell: And with regard to the verticality that you mentioned, I think the property is a little bit easier to get your hands around. We think there is some scope for more people to be pulled into the casualty, and we contemplated that in the reserve. But we don't think this is a runaway where there's significant expectation beyond the coverage, which is better already sort of known. 
Ryan Tunis: That's helpful. And then I guess one just for Bob, not asking for -- without asking for specific expense savings, guidance or anything like that. Just curious, things like real estate, whatever, like I'm sure that there are sales that have been identified. Is it safe to assume that those are -- any of that kind of minor stuff or whatever is in these 1Q numbers? Or some of the easy stuff you've identified storm to come for the rest of '24? 
Robert Qutub: Yes, thanks, Ryan. We got some of those in the fourth quarter, in the first 2 months of owning. So we got some of the easier ones upfront. You're going to see a lot of these are transition costs that will carry into first quarter as we do the integration. As I said, it's going to taper off over the next 3 quarters down to a nominal amount by Q4 and gone by 2025. So expected to see a decline. It was $20 million this quarter, probably be $5 million to $6 million less next quarter. 
Ryan Tunis: Sorry, just to clarify, not the onetimers, I'm talking about core costs, like maybe like real estate or something like that. 
Robert Qutub: The real estate, okay. So let me rephrase. The real estate and costs like that, we've taken the charges on the unused space that we're not going to use. So what you're going to see now is the recurring use of those spaces is now up in our operating income. What you're seeing outside of operating income would be the transition integration. A lot of those are people and onetime costs that come through consultants that will go away. So that's in the corporate expenses. That's the $20 million that I referred to in my prepared comments. 
Operator: Our next question comes from Joshua Shanker with Bank of America. 
Joshua Shanker: [indiscernible] I'm going to get nowhere with this, but I'll ask anyway. Is there a way to frame what the organic growth was at RenRe proper and the organic growth within the part of the Validus book that you want to renew? 
Kevin O'Donnell: Yes. We're not looking at it that way. As we mentioned kind of early on, there's a heavy overlap with the Validus portfolio. I think what we said is, at the time we announced the acquisition that is close to 30% quota shares we could get with the portfolio. So we are very happy with the quality of the underwriting. We're very happy with the quality of the underwriters and the people from Validus. We have grown on accounts beyond the 1 plus 1 equals 2. We have shrunken some of the accounts, 1 plus 1 plus equals 2.
 The area that we've probably grown the most on a combined basis is within specialty. And we've had great success, but we're not -- it's too difficult for us to think about assigning organic growth between shared accounts. So when we're looking at it, we target the amount that we want, our clients and brokers have been enormously loyal and helpful to us. So when we look at the growth, we're proud of the number that we put up, but we're not breaking it out between organic and combined. 
Joshua Shanker: Make sense, I understand. Kevin, you began your remarks talking about not wanting to pass the risk of hurricane volatility on your shareholders. The last time the balance sheet was tested against the major losses probably Hurricane Ian and people can determine how they feel about run rates performance at that moment. But one thing that's really not been tested is the $100 billion disaster, the $150 billion or the $200 billion disaster.Can you talk a little bit about how RenRe's balance sheet and its partners' balance sheet change in terms of their exposure as the amount of the loss rises to levels not foreseen? 
Kevin O'Donnell: Yes. So I actually said we wouldn't transfer to clients. The fact that we're going to load the risk means -- RenRe is holding that risk and we'll manage it appropriately. I think in order to think about how we construct portfolios, we need to make sure that we are resilient to losses. If you think about what that means is as you move further into the tail, you're moving from income statement concerns to balance sheet concerns and making sure that we are available for the day after the loss to continue to support our clients. That's kind of integral in what we do. 
 If you take the 2 portfolios together, right now, our share of larger losses as a percent of equity is relatively consistent with what RenaissanceRe has done historically. So we have not levered up the amount of risk that we're taking, because we put the Validus portfolio onto our balance sheet. So when I think about the largest types of events that can happen, we are equally resilient compared to where we've historically been.
 That said, we are in a much stronger environment across each of the areas which generate resilience on our balance sheet. We have much stronger investment income and we have much stronger specialty income and much stronger fee income. All of that bolsters the impact of any event that can come in from the cat book, particularly the cat book in the tail. 
 So when I look at the portfolio, it's well constructed against tail risks. Obviously, we will suffer losses in a tail risk event. But there's nothing back there that would make me feel materially different than how we've historically felt about how we built our portfolios. 
Joshua Shanker: And the proportionality, begin -- the correction I mean we are not passing the risk on to clients, also the clients are passing risk on to you in some way, but they're not passing on all the risk. Is there a sense we can make about as the loss increases to levels not before seen the amount of risk that's been transfer to RenRe versus the amount of risk that's not yet been transferred? 
Kevin O'Donnell: So I think what you're asking -- well, the biggest exposure we have to an event like you're describing is our property cat portfolio, which is an XOL portfolio. So as the event continues to grow, losses will revert back to the primary companies. Once the limits are exhausted from the towers that they purchased. So I think the question you're asking is as the loss continues to grow, we tap out and become a lower percentage of the overall participation in the loss as the loss continues to escalate beyond the tower purchased. Is that your question? 
Joshua Shanker: Yes, that's generally the point I've been asking. You don't give us PML disclosure trying to understand how RenRe in that larger loss environment? 
Kevin O'Donnell: Yes. The slope of our increase reduces with the size of the loss and as it reverts back to the primary company. 
Operator: Next question comes from Yaron Kinar with Jefferies. 
Yaron Kinar: I wanted to go back to your comments, Kevin, on the casualty market and how you feel that, generally speaking, the market is keeping up with loss trends. I just want to square that with -- when I look at the 10-K triangles there, we see that -- I think we saw a little bit of strengthening for accident year '22 another liability. We saw the initial loss pick for accident year '23 up substantially year-over-year. So how do I square those data points with the comment? Is it just extra prudence on your side or other drivers there? 
Robert Qutub: Let me go ahead and start with that. Thanks for the question, Yaron. What you're looking at is the triangles and the K. And you'll see changes as we go through in the actuaries, we'll true those up. What you see in terms of the earlier years or the more recent years, you're seeing some of the short-tail business since that benefit will come in. As far as development in prior years, you're always going to see some movement in the curves as we get more information. But with respect to how we feel about the reserves, we're very comfortable with our estimates that we have. 
Kevin O'Donnell: To give a little bit of context. I think there's been a lot of focus on reserves and rightfully so. The majority of that focus is on probably years '14 to '18. When I think about our reserves, I think about the overall pool of reserves that we have, which is what is round numbers about $20 billion.
 When we break it down to the years that get the most attention, which are 2018 and prior, on a net basis, that's less than 5% of our reserve pool. So we think there are issues that will emerge in the '14 to '18 years. But those issues are not significant to us, because of the reserve balance that we have and the fact that we've decided to grow our casualty more substantially '19 and forward. We have substantial protections on those years.
 So when I think about the reserve pool, I think there are always movements, as Bob mentioned, in specific years. But across the health of the portfolio and the health of the reserve pool that we have, I think we're in a significantly better positioned than the industry, and I feel very comfortable about the balance that we have as a company. 
Yaron Kinar: Got it. And then with regards to the more recent accident year is maybe not 2020, just given COVID lockdowns and whatnot. But as we look at '21, '22, '23, you're still very comfortable with loss picks and then not just your loss pick, but your ceding loss picks and those keeping up with loss trends? 
Kevin O'Donnell: I'll speak to ours. I feel great about ours. 
Yaron Kinar: Okay. And my second question, just going back to the commentary around the expectations of an active hurricane season. So I think I understand your point, ultimately, you're not going to look to pass or I guess, play with clients, your appetite for client risk, just given any years dynamic on the hurricane side. But at the end of the day, an active hurricane season does potentially depress returns. So does that not factor into ultimate appetite into growing in property cat any given year? 
Kevin O'Donnell: Yes. So those are -- thank you for asking for the clarification there. When we think about our book of business and what I tried to touch on is the value of incumbency, we look at the expected value of a client or the portfolio. That expected value is higher when we provide consistent coverage through elevated forecast and reduced forecasts.
 Your second question is how do we think about the risk and how do we think about our portfolios. We absolutely think about the portfolios and how we're shaping the portfolios, how we're managing the risk that we're taking and the growth objectives that we have. We will not transfer that to people, who have trusted us in the renewal book that we have. But when we think about growth, I mentioned in the Florida comment earlier, we have a high bar for us to want to continue to deploy into that. The contemplation of that would be expectations for a trade, because many of the things that would be growth would be a trade, not a partner.
 So it absolutely folds into our portfolio construction, but we don't transfer it with availability of capacity to our partners. 
Operator: Our next question will come from Brian Meredith with UBS. 
Brian Meredith: A couple of questions here for you. First, Kevin, I know previously, your intentions were to shift cat capacity to the cat reinsurance line and away from other property. Hard to see how much the actual organic growth was another property. But is that still the case? Or you kind of change your views on what's going in the other property area? 
Kevin O'Donnell: That's still the case. I think we're still getting excess return compared to the other property portfolio by writing property cat. So we're focused there. We also like the distribution that comes in from the -- with the new attachment points in the cat portfolio where there's less attritional loss coming through the income statement, obviously, with the cat book, which is in excess of loss book. So I would say our strategy on other property is relatively consistent.
 We have and are monitoring closely, particularly the cat exposed other property portfolio. We think there's good rate there and good opportunity. But on balance, the property cat opportunity still trumps that opportunity for us. 
Brian Meredith: Great. And then the second question has to do with -- we've heard a little bit about some people in the market moving down a little bit in towers to kind of accommodate demand for maybe some more attritional losses, because that was a problem last year. What are you seeing in the marketplace? Is that happening? And do we think that's going to continue to move that direction? Or it seems like more competition at the very high end? 
Kevin O'Donnell: There's definitely more competition at the high, but I'll let Dave, who's more on the [indiscernible]. 
David Marra: Yes. The competition is at the high end and also the increased demand at the high end. So those have been a nice balancing effect on each other. There has been interest in buying [ them below ], and I think that earnings protection is something where there would be demand. The challenge is that the cost of that protection will be too expensive for most clients to want to buy it. There have been a few just some core partners where they've bought here and there around the edges, but more or less the retentions from 2023 have held into 2024. 
Brian Meredith: Got you. And can I squeeze one more in just quickly. This is more, I guess, for Bob. I looked at the acquisition expense ratio in cat, and it's up pretty high. Is it still there? Or is that kind of the new kind of [ post-sales ] kind of acquisition ratio in [ casualty ] reinsurance? 
Robert Qutub: Thanks for the question. What's driving a lot of the increase in the acquisition cost ratios is purchase accounting. The property book, we had 2 points come into the property. Same thing with casualty, same thing overall. That's what's driving it. That will taper off a lot largely over the next year. 
Operator: Our next question comes from Mike Zaremski with BMO. 
Michael Zaremski: Okay. I guess just want to -- given there's just a lot of moving parts with Validus, I think I know the answer, but on capital management, if share repurchases should we thinking that's not a meaningful part of the equation until '25 or after given the digestion of Validus despite excellent profitability and potentially that depending how wind season goes? 
Robert Qutub: Yes. Thanks, Mike, for that question. I tried to address that in the prepared comments. Right now, one, we're in a good capital position, but we're really focused on the integration. We've got 2 large balance sheets that Kevin was referring to. The major focus right now is renewing on to that. And the second major focus is consolidating those, because what that does is leave stranded capital on those platforms. 
 So midyear and towards the end of the year, we're hoping to have those balance sheets back onto our books. But more importantly, as Kevin referred to, is we're focused on deploying capital organically at the midyear renewals. So that's kind of back into that. And what I was looking as to where we could optimize the returns on capital. 
Michael Zaremski: Okay. That's -- makes sense. Follow-up, just curious, so lots of questions about casualty. I think [indiscernible] I think most folks know that RenRe has a long history of conservative reserving. But on the social inflationary aspects of the portfolio, I'm assuming those are mostly kind of quota share agreements with your clients and probably -- maybe a naive question, but do you just simply kind of use their loss ratio and what they're giving you? Or are the actuaries able to kind of bake in their own view? So to kind of how you decide how you're booking that? 
David Marra: This is David. I'll -- about the first question on the reserving on the quota share, but a lot of it is quota share. So we are taking a proportion of what our clients end up writing and paying and support losses. Our actuaries have an independent view. It's completely separate from what our clients book. And so that is fairly unrelated. What we're seeing in social inflation is we have a few different categories the most intense is the commercial auto side. And that's an area where clients have seen a lot of deterioration with social inflation, that's a class that we've historically avoided and have very little exposure to.
 General liability has some of that creeping into the umbrella layers. And -- but the rates are keeping up with that trend so far we have to continue to monitor that. And D&O is where there's less social inflation exposure, but losses are elevated and we're cutting back the portfolio there. So we take a very proactive approach to manage the portfolio so that we're not as exposed to social inflation as the average in the market. 
Operator: Our next question comes from Charlie Lederer from Citigroup. 
Charles Lederer: Maybe just a follow-up on the lab question. Can you share some color on maybe how border road trends have changed post a lot of the 4Q noise in casualty that we saw across the industry? 
David Marra: Could you just -- clarification, what do you mean by border road trends? 
Charles Lederer: [indiscernible] like actual claim movements from your cedents? I know you guys have some like a margin above them maybe, but have that been -- yes. 
David Marra: Yes. Okay. I see what you mean. So as we get information from our cedents where they're booking the losses for individual claims, there has been a lot of activity mostly from the 2016 to 2018 or '19 period, where our cedents are putting up more reserves for individual claim settlements. It's not as much about their IBNR level, that's an independent judgment and then we judge our own IBNR levels. But there is healthy progression, meaning a significant progression of how our cedents are increasing their own case reserves, which is reflective of all the trends that we discussed. 
Charles Lederer: Got it. And then just a follow-up on the other operating expenses. I know, Bob, you said flat for the year. Did you mean off of '23 levels or off of kind of the lower 1Q '24 level that we saw? 
Robert Qutub: Just to make sure, Charlie, you're talking about the operating expenses, not the corporate expenses, is that right? One time versus [indiscernible]? 
Charles Lederer: Yes, the 4.3 ratio. 
Robert Qutub: Yes. The ongoing cost just within the combined ratio did elevate obviously as a result of the casualty and property integrations coming from Validus. Casualty was proportionately a bit higher. So you saw a higher increase coming in on the casualty side. But early on, we're going through in terms of how we can match off some of these allocated costs.
 But right now, you will see an elevated cost coming in through the casualty side and property. It's down a little bit from the last quarter. I think casualty is 48%, last quarter, it was down 44%, 42% this quarter. So kind of looking at that for now. 
Charles Lederer: Okay. And I guess just one quickly. I think the guide was for 40% amortization in '24 of the intangibles from the Validus deal. Is that still the guide? It came in a little lighter than we expected in the quarter? 
Robert Qutub: Yes. It started -- I mean the amortization started the first -- last 2 months of last year. So as I tried to guide Brian, too, when he asked the question from UBS, was that they are going to start to taper off over the course of this year and a bulk of them will be out by into this year into the first quarter of next year and then the longer tail on some of the longer lived intangibles will stay in for a while. 
Operator: Our next question comes from David Motemaden with Evercore ISI. 
David Motemaden: Hoping you could dig into the reserve development in the casualty and specialty segment, just some of the moving pieces among the lines behind the $2.4 million of favorable development? 
Robert Qutub: Yes. No, that's -- David, that's a good question. We have -- the purchase accounting does go through the prior year. And so prior year development had about basically 2 points coming through there related to that. And so you will see a repressed level of favorable development. So think about $10 million, $11 million. 
David Motemaden: Got it. And what was driving that, the $10 million, $11 million of favorable development? 
Robert Qutub: That's coming across as we go through the development on our prior years. But that $10 million or $11 million is the purchase accounting adjustment that goes against it. So I think pre-purchase accounting favorable development would have been closer to about $13 million or $14 million. 
David Motemaden: Understood. And I think this came up just sticking on the reserves on the casualty side. I think it came up earlier that on accident year '14 through '18, you guys still have substantial protections on those years. Could you just elaborate what you mean by that and how much protection you're referring to? 
Kevin O'Donnell: Yes. So there's several things that I was trying to highlight on that. So one is our book was substantially smaller from a written perspective in those years. If you look at the growth of our overall casualty specialty, it really started to increase materially in '19. The acquisitions that we've made, which brought prior year reserves, were protected by ADCs, which we've discussed before, both for Tokyo and for Validus, which buffers it. And then additionally, we have additional protections that we purchased for the syndicate for the years prior to '18. So within all of those, there's significant limit in coverage, which also reduces the net amount, which was captured in the 5% that I highlighted earlier. 
David Motemaden: Got it. And on the Tokyo Marine ADC, is there any way we can size how much of the protection is left on that? 
Kevin O'Donnell: No. There's limit left. And we're not going to talk about an individual contract with a counter party. 
Operator: This will conclude today's question-and-answer session. I would now like to turn the conference back to Kevin O'Donnell for any additional or closing remarks. 
Kevin O'Donnell: Well, thank you, everybody. We're pleased with the results we've had this year and look forward to our call next quarter. Thanks again. 
Operator: And this concludes the RenaissanceRe First Quarter 2024 Earnings Call and Webcast. Please disconnect your line at this time, and have a wonderful day.